Operator: Good morning. My name is Colin, and I'll be your conference operator today. At this time, I'd like to welcome everyone to the Conference Call regarding Stelco's First Quarter Results for 2021. [Operator Instructions] Mr. Harris, you may begin your conference.
Trevor Harris: Good morning, everyone, and welcome to Stelco's quarterly earnings conference call. Speaking on the call today, to discuss our first quarter results for 2021, will be Alan Kestenbaum, our Executive Chairman and Chief Executive Officer; and Paul Scherzer, our Chief Financial Officer. Yesterday, after the market closed, we issued a press release overviewing Stelco's financial results for the first quarter of 2021. This press release, along with the company's financial statements and management's discussion and analysis have been posted on SEDAR and on our Investor Relations website at investors.stelco.com. We have provided a link to the presentation referenced on today's call on our website as well. I'd like to inform everyone that comments made on today's call may contain forward-looking statements, which involve assumptions, which have inherent risks and uncertainties. Actual results may differ materially from the statements made today, so do not place undue reliance upon them. Stelco management disclaims any obligation to update forward-looking statements, except as required by law. With that in mind, I would ask everybody on today's call to read the legal disclaimers on Page 2 of the accompanying earnings presentation and also to refer to the risks and assumptions outlined in Stelco's public disclosures, in particular, the first quarter 2021 management's discussion and analysis sections relating to forward-looking information and risks and uncertainties as well as our filings with securities commissions in Canada. The appendix of our presentation and the non-IFRS performance measures and review of non-IFRS measures of our MD&A provide definitions and reconciliations of the non-IFRS measures that we use today. Please also note that all dollar figures referred to in today's call will be in Canadian dollars, unless otherwise noted. Following today's prepared remarks, Alan and Paul will be taking questions. [Operator Instructions] With that, I'd like to turn the call over to Alan.
Alan Kestenbaum: Thank you, Trevor, and good morning, everyone. Thank you for joining us today. I'm excited to share with you some of the details that led to what has been a remarkable quarter for our business and the beginning of the realization of the robust financial implications from the investments we have made in our equipment, people and balance sheet. All of those efforts have contributed to a historic quarter for Stelco, and we are just getting started. We have just started to see the initial impact from the significant gains in production and efficiency from our recently upgraded smart blast furnace, and the results have been outstanding, but there's a lot more to come in the current quarter and beyond. Throughout the first quarter, we set numerous production records, resulting from the increase in hot metal capacity we achieved through the strategic and generational investment. At the same time, we continued to leverage our industry, leading cost position to generate $185 million in adjusted EBITDA, which is over 200% higher than the prior quarter and a 28% EBITDA margin, by far, the highest of any reporting company in the North American steel industry. Over the quarter, we took advantage of improving pricing that existed in the market when we took these orders in the fourth quarter of 2020. For reference, pricing being realized now on new hot-rolled coil orders today is close to double the average price achieved in the first quarter, all straight to the bottom line. Moreover, we have utilized our tactical flexibility strategy to not only meet the market demand of our customers, but to deliver record volumes of high value-added cold-rolled and coated products to the market. You will recall that keeping our penetration in these markets has been a core part of our growth strategy for the past 2 years. In fact, on our previous call, I noted that we were continuing to focus in this area and remain committed to growing our business in this area. Well, we have delivered. Compared to the fourth quarter of 2020, we more than doubled our shipments of these products in Q1, marking the highest volume of shipments of cold-rolled and coated steel since we acquired Stelco in mid-2017. For the quarter, more than 25% of our shipments were to customers of these high value-added products. Our outstanding results in the first quarter are a clear validation of the extensive strategic investments we have made in our operating facilities and the continued adoption of our tactical flexibility strategy. To further enhance our capabilities in this regard, we completed the commissioning of our new pig iron caster during the quarter, which will open opportunities for Stelco to reshape the North American market for pig iron and allow us to supply up to 1 million tons of these valuable iron units, but keeping with our tactical flexibility model only when the pricing suits Stelco compared to other alternative products. Prospective customers have taken note of our capabilities and our thesis, and we are engaged in ongoing discussions. Related to this point, last quarter, Paul and I shared with you part of our thesis related to the impact of scrap pricing on our EAF competitors. As we look forward at the projected price of busheling scrap, it continues to be higher than the implied cost of our blended product mix by a substantial margin. I will ask Paul to again share the details with you, but we view this as a significant competitive advantage considering our significantly lower exposure to scrap than our EAF counterparts. As the EAF market continues to compete over the tight domestic supply of scrap as well as competing with China, we see significant opportunity to exploit both our low-cost position and our new pig caster to provide high-value iron units when the market conditions are right. Our strategy is working and the continued alignment of our management team with our shareholders keeps us laser-focused on providing value and positive returns for all of you who have put faith in our leadership and our business. I am pleased that we are again in position to offer a quarterly dividend of $0.10 per share in recognition of that commitment. We are very pleased with the state of our business today, but we will not rest on our laurels. There is much yet to accomplish and significant opportunity for us to push the envelope and grow our business even further. Work is continuing on our electricity cogeneration facility that will lower our energy costs by utilizing more of our existing byproduct fuel sources and at the same time, improve our energy reliability and reduce our net carbon footprint. The rehabilitation and upgrade work of the coke battery at our Lake Erie Works is also well underway. When complete, this project will further enhance the performance of what has already -- what was already one of the best-performing coke batteries in North America. We expect more efficient production with improvements in both yield and greenhouse gas emissions while lowering the cost of one of our major raw material inputs. We are deeply engaged in meeting the challenge of reducing our carbon emissions and acting as industry leaders in this regard. Our management team is continuously evaluating opportunities to reduce our net carbon footprint, and we will maintain a leadership role in our industry. While we recognize meeting this challenge will take time and considerable effort, we are committed to making a continuous effort to incrementally reducing our emissions. In this quarter, not only have we achieved an EBITDA margin of 28%, which is the highest amongst North American steel reporting companies. And only 1 of 2 with a 2 handle, but also a conversion into net income of 84%, which is also the highest in the industry and a reflection of our focus on maintaining best structured balance sheet in the industry. This pace of performance is actually accelerating as we continue to expect even better results going forward and as our capital projects are winding down. We have the luxury to now focus on increasing shareholder value through smart capital allocation decisions, of which there are many options available to us. We have come a very long way in a relatively short period of time. Our end markets are firing on all cylinders, and we anticipate that accelerating as the world emerges from COVID and historic level of savings in consumer pocket starts being spent, along with significant government spending on infrastructure projects. Moreover, new emerging markets, such as electric vehicles are creating new opportunities for Stelco, and we are positioned to meet those challenges and take advantages of these opportunities. Our cost structure demonstrates that we have built a unique, resilient business that is not only capable of thriving at all points of the market cycle, but one that can excel at a very high level in stronger markets. At this time, I'd like to ask our CFO, Paul Scherzer, to provide some comments specific to our financial performance.
Paul Scherzer: Thanks, Alan, and good morning, everyone. As Alan noted, the results we achieved in the first quarter are a testament to the hard work of our employees and reflect our continued commitment to controlling our costs and maximizing the financial return on our capital investments. Because of these efforts, we were able to take full advantage of the extremely favorable pricing that has developed in recent months and delivered very strong and much improved results this quarter. In addition to our adjusted EBITDA reaching a 2-year high at $185 million in the quarter, we also saw a high watermark with respect to adjusted net income, which came in at $155 million for the quarter, up almost 700% from the same period last year despite only a 36% increase in average selling prices. Some of this can be attributed to an increase in shipments, but in large part, we are seeing the impact of our commitment to cost containment and the investments we have made in the business to solidify our position as a low-cost producer. Considering the challenges placed upon all of us as a result of the COVID pandemic over the past year, these are remarkable achievements that we are extremely proud of. Of course, the market has been favorable as we reached record levels of hot metal production and benefit from the investment in our smart blast furnace. We are able to convert those tons into shipments by not only meeting the demands of our customers, but by doing so in the higher value-added cold-rolled and coated markets. As a result, we saw our average selling price rise to $959 per ton across all product lines. I believe that we were able to exceed our shipment expectations for the first quarter, and I expect that the strong market demand we have seen through the quarter will continue. Accordingly, we expect to maintain our first quarter shipping volume in the second quarter. Alan referred to our favorable cost position compared to the forecast price of scrap in the market. The slide on Page 4 of our presentation demonstrates once again that our business has exceptional earnings power compared to businesses that are solely reliant on scrap as their raw material input. Of course, this graph does not consider any of the manufacturing or processing costs incurred by the electric arc furnace sector, just the projected cost of their primary raw material. We see this as an affirmation of the strategic investment in our blast furnace and a meaningful competitive advantage that demonstrates the exceptional earnings power our business holds. We are now seeing the power of the flexibility in our business model. With the current robust market and strong demand for our high value-added products, we are able to convert our hot metal production into downstream products that maximize our margins and generate maximum benefit to our shareholders. However, the commissioning of our pig iron caster will also afford us the opportunity to supply up to 1 million tons of highly valued iron units to the electric arc furnace sector should the market be favorable and in turn allow us to maximize the value of our blast furnace investment to every part of the market cycle. In light of these changes and to further explain the earnings power of Stelco, based on continued shipments at current levels and based on our anticipated mix, with pricing in the second half of 2021 consistent with the current forward curve for hot-rolled coil on the CME, we are capable of generating full year adjusted EBITDA of more than $2 billion. That's a figure that is achievable based on the parameters outlined and would be 3x the high watermark the company achieved in 2018. I want to emphasize that we do not intend to offer earnings guidance on an ongoing basis, but today, we do want to make clear the exciting potential of this business in the current market. The first quarter has delivered the results we believe were possible when we embarked on our strategic capital plan, but it is only the beginning. We'll stay true to our commitment to maintaining a strong balance sheet and pursue opportunities that will both grow our markets or enhance our industry-leading cost position. Our tactical flexibility model provides us the tools to adapt to changing dynamics in the marketplace and to fully exploit those opportunities and, most importantly, allows us to achieve the highest possible return for our shareholders. I share Alan's enthusiasm for our business and look forward to sharing in our continued success. Thank you for taking the time to join our call.
Trevor Harris: Thank you, Alan and Paul. That concludes our prepared remarks. And now I'd like to turn the call back over to the operator for Q&A. Operator?
Operator: [Operator Instructions] Your first question comes from David Gagliano from BMO Capital Markets.
David Gagliano: Great. I just wanted to obviously focus in a bit on the $2 billion number in terms of what it means for free cash flow. On our numbers, it translates to about $1.4 billion or something like that of free cash flow potential. And just as you think about the plans for that cash, can you give us a sense as to roughly how much you think Stelco will allocate between buckets like building cash. And presumably, that bucket will include building cash to fund the 2022 free cash flow suite for the pension. But just in terms of allocating building cash, returning that cash to the shareholders and the investment opportunities. Just rough percentages or ranges for each of those buckets would be very helpful. And then also if you could just talk about the timing of the -- these capital allocation plans, that would be great.
Alan Kestenbaum: Look, Dave, with respect to capital allocation, I think we mentioned on the previous call that now is when we're achieving the cash coming in, and it's coming in rather quickly right now, and that's accelerating in the current quarter as well. We have a unique opportunity to generate a lot of cash flow this year. And yes, there's certain obligations. I want to remind everyone that our pensions go away once we hit the $400 million number, which is already $100 million paid down, there'll be another meaningful dent in that this year as a result of the free cash flow suite. But that pension is going to go away. It was supposed to go away by 2034. We think it will be gone by 2024, 10 years beforehand. Really happy about that. Great for our workers and our shareholders and everybody else, which is a core principle for us that we like to achieve. But the real opportunity here is going to be that we're going to be achieving a significant amount of cash and we have a lot of opportunities. The main thing for us right now because we and the management team and our partners are the largest shareholders in this company. And we think that the stock has a chance to more than double from where it's at today. And we want to make the decision with this cash that enables that to happen. We're not going to provide more clarity than that at this point, except that this is a unique opportunity to generate an enormous amount of cash without accessing capital from debt or equity markets, which is great. That's kind of cash that you want to generate. And we want to do something that's going to meaningfully move the share price. I mean if you look at our price today, we're trading at less than 1.5x of this number, and that's obviously ridiculous. And so we want to do things that are meaningful that are going to really get us up to where our peers are trading. And we think we will get there.
David Gagliano: Okay. Just to follow that up a little bit more. When you think about the opportunities out there to get that share price meaningfully higher. And obviously, the multiple is extremely low. Do you think it's more likely going to come through cash returns to shareholders or through investments? Again, I'm just trying to get a sense as to how you're thinking about weighting those 2 buckets specifically.
Alan Kestenbaum: Yes. So we have the luxury to do -- to really do all of the above. We're going to speak with our advisers about what the best bank for the buck is going to be. Could include all of that. And we're now -- we want to evaluate this. This is a great opportunity to achieve that. And we recognize that opportunity exists this year. So we're in the short term here, not in the medium or long term, and we want to do things that are going to be meaningful. It could be everything, could be share buybacks, could be other investments that really move the needle of this company and grow the company, we'll see. We'll make that determination. But we've not made any determinations this year except to say that when you have a clean balance sheet with no debt and all your obligations to employees are in trust of balance sheet, you've got every single option available to you, and that really makes us unique. We don't need to speak to bondholders. We don't need consents, we don't need anything. We're completely free and open to do whatever it is, is going to get the share price up to a place that it deserves to be. And so we will make that decision and then make announcements as necessary.
David Gagliano: Okay. And then just one last question to me, switching gears, just to calibrate timing and magnitude of when these higher spot prices flow through results. If we went back, we lagged spot price about 3 months, we come up with about $450 to $500 quarter-over-quarter price increase in Canadian dollars, $450 to $500 for the second quarter. Is that a reasonable range to assume for the second quarter?
Paul Scherzer: David, I think that's probably a little bit high, but not outside the realm of the possible. So we still do have the lag, as you know, and we're working through with HRC as well with some of the value adds. So there will be a very meaningful step-up. I don't know that we'll get quite to that level.
Operator: Your next question comes from David Ocampo from Cormark Securities.
David Ocampo: Alan, I was wondering if you can give us an update on your current tax shield and what your expectation is for this year on when you can potentially pay your taxes?
Paul Scherzer: David, it's actually Paul. I'll take that one. So as you know, we entered the year with about $1.1 billion of tax attributes. That's divided between NOLs as well as well as some -- as well as tax attributes related to CapEx. The NOLs we could fully utilize. And we would expect to fully utilize those this year based on what we've done in the first quarter as well as where, obviously, earnings are going. The other ones we could only use over a period of years, so those will bleed in. So we'll get a very sizable tax yield this year, but we won't be able to use the full $1.1 billion. The other thing to note is we're continuing to add tax attributes through our CapEx this year.
David Ocampo: Okay. That's great. And then maybe zeroing in on the cost structure here. If I take a look at the cost per ton, it's higher than last year's number. And I understand part of that is your value-added products. But is the remaining delta just from higher scrap prices? And if so, where is your cost structure today relative to the $400 per ton that you've indicated in the past?
Alan Kestenbaum: Right. So actually, our costs are lower than last year. As you noted, the numbers that we're reporting is a mix that includes the price of zinc and everything else on galvanized. But we're performing at that level that you've indicated on HRC. The only change to that is we do use some scrap. And so that number, we adjust that number and the impact of scrap is probably about $15 per ton. If you think about that, USD 15 per ton is the impact of the increase in scrap compared to our competition that has -- for every $100, the actual impact is about $115 because of the yield losses. So pretty modest impact, and we are hitting that number and actually beating that number in most months. So really amazing work by our team in keeping the cost low.
Operator: Your next question comes from Alex Jackson from RBC.
Alex Jackson: Congrats on a solid quarter. So a two parter for me. Just firstly on the sort of $2 billion EBITDA estimate. Other than HRC pricing, I'm just curious what you think maybe the biggest risks are to achieving something like that this year? And then on the other part, with HRC prices kind of where they're at, do you think it makes sense to enter some sort of swaps or hedges maybe on a smaller portion of your expected ship tons?
Alan Kestenbaum: Well, I mean, as we said, the number is based on real numbers that are out there today. On the CME, you can open up the CME and see the forward curve and do the math. So -- and as we said, it's in excess of $2 billion. So the answer is that, yes, that's the reference point. We expect that we're also going to make incremental margin on value-added products and this market continues to go up. I mean the CRU today went up by $48 in 1 week. It's literally every day that the price is moving. So we don't know where the top is. With respect to hedging, we messed up in Q4 by thinking we're at the end of the rally and hedged, and that's cost us. And we learned from that. That doesn't mean we never hedge again. There's so much momentum in there right now. When you see a market moving and lockstep like this so quickly, I think it's best for us to continue to let this trend right out. And then if we start to see slips and we missed the top by $40, $50 a ton like who cares. I mean it's the forward curve today for June, for instance, is $1,570, right? CRU is 14, I think, $1,450, $1,460 something like that. So I mean, we got a lot of margin for error here. The trend is your friend. The trend is really strong. You're seeing this not only in steel because seeing this in lumber as well. If it drops $50 and we see things change, we might look at that. But right now, we see nothing changing. Inventories are exceptionally low with our customers. End markets are really strong. Imports are not moving because people don't want to take the risk on 6-month lead times. Scrap is surging every day. Everything is pointing to continued strength and continued price increases, and we have a little to lose by waiting a little bit and a lot to gain. And I think our investors generally who buy our stock, one, understand that this pricing -- every dollar price increase goes right to our bottom line, and our investors, by and large, want that exposure. That's why they buy our stock. And when -- so I think we're going to stay with that strategy until we see any sign of it abating and which we don't -- literally, every day, we see the price going up $5, $10, $15, $20 depending on the day. So that's continuing. We could have had this discussion, I don't know, a month ago, when the price was $1,350 or $1.400. And the answer would have been the same -- the question would have been completely appropriate that you're asking and I probably would have given you the same answer. And had we hedged, today we'd be explaining, my God, why would we hedge at $170 a ton below the market. And so it's a bit of guesswork here, but I've learned having been in this business a long time the trend is your friend. The markets are surging and let's continue to enjoy the ride.
Operator: Your next question comes from Curt Woodworth from Credit Suisse.
Curt Woodworth: Alan, I guess, the first question is just if you believe that your equity is trading at 50% in a discount to what you think is fair value. Why -- and given the free cash flow outlook, what's preventing you from at least putting in a share buyback authorization at least give you flexibility to take advantage of some of the volatility in your stock?
Alan Kestenbaum: Nothing is preventing us from doing that. And what I would say is we're going to get our hands on a lot of cash this year. And when we do something, we want to do something that's going to be big, meaningful and impactful rather than dribbling in, in a share buyback program. But your question is completely correct. Nothing prevents us from doing it.
Curt Woodworth: So in terms of doing something big and meaningful, would you include potential acquisitions in terms of the strategic opportunity set?
Alan Kestenbaum: Listen, some things are overpriced today. So acquisitions are tricky. And we've built here -- a great model here, and we certainly don't want to dilute our position in doing that. So I wouldn't look -- I don't know that acquisitions are necessarily something that we will do because I think that some assets, I mean, clearly, look at our performance, right, we've got the highest EBITDA margins in the industry with a pricing that is half of what the current market is. So we can imagine what we're going to be doing going forward. And so to buy something that's going to dilute that position when you're the best, acquisitions are tough not only because of price but because you don't want to dilute being the best. And we want to continue to get better. So that narrows the scope in terms of what's available. There's been a lot of consolidation, which is -- already, which really helps us because the playing field has changed. Our -- the market is very, very well set up from that perspective. So when you look at acquisitions for purpose of consolidation, we don't need to do that because some of our really well-run competitors have done that already for us. So we don't really need to do that. So we have to look at things that are going to make us better. And that means not diluting our cost position and those of you who know me for the last 15 years running public companies, overpaying is not my thing. But as I keep -- I know people want to know what we're going to do with the cash and to your question, I mean, let's just say we generate $1 billion in cash today, I mean, in this year. What would be wrong with buying half our stock back? Nothing. So everything is on the table. We're going to evaluate it really carefully, not do things that are symbolic like small share repurchases and things like that. But do things that are going to really move the needle to get this company's valuation to where it -- where it belongs, which is at least double where it's at today.
Curt Woodworth: And I guess, when you look at yourself versus your peers, your cost position is arguably the best in North America certainly today. So really, you could argue maybe the product mix is slightly more commoditized versus your peers. Are you contemplating any more substantial downstream investment either in rolling or fabrication at some point?
Alan Kestenbaum: Look, I mean, if you look at our peers and you look at their movement to downstream at the fabrication. It hasn't worked. And I think then the steel industry, what I've learned is that there are 2 issues. One, you tend to buy your customers, put your material in and not really have a 1 plus 1 equals 3, and say, you have plus -- 1 plus 1 equals 1.5. That's one. And you can just look at the numbers of some of our competitors and see how that has happened. And if you look at some of our other -- and I don't want to put names here, but some of them that have specifically called out the hot rolling business of their EAF production, for instance. You look at U.S. Steel, for instance, and they call out specifically the production performance of Big River, you see there how much better Big River is doing than their competitors. And that's because they don't have this downstream stuff. So you have that issue. And then you have channel conflicts, which is a definite issue in this business. The customers are very sensitive to that. We don't want to compete with our customers. So I think for financial reasons, looking at other people's acquisitions that I don't think have really worked out, and looking at the types of things and again citing -- let's just look at Big River on a stand-alone basis, how well they have done compared to their peers. I think what we learned from that is staying close to your knitting is really where the business is at. And so I don't see us going down into the fabrication things. And if -- we've got a lot of options and opportunities now that are better. And we'll evaluate those, including potentially share buybacks and things like that.
Curt Woodworth: And then just a quick one for Paul. The $2 billion number implies about $1.8 billion over the last 3 quarters. But 2Q will largely be a function of some of the lag pricing we saw in the first quarter. So I know the $2 billion was based on the forward curve, but what would be the, I guess, kind of implied HRC price that's embedded in the last 3 quarters of that $2 billion number to kind of understand what the real baseline is?
Paul Scherzer: Yes. No, that's a fair question. And you're absolutely correct that we've still got the lag hitting us this quarter. So to one of the questions asked earlier in the call, we'll be up a few hundred bucks a ton. When you look forward with where we are and where the order book is, we're now taking orders for Q3. That's at where the current market is. And so we think the forward curve is a pretty fair representation. And I mean, it's as simple as just going to the CME website, looking at the HRC forward months and you'll see where the prices are. To give you a feel as of today, showing July actually north of where CRU is. And then August, September, north of $1,500. And in December, you're still well above the mid $1,300s. So it's just taking that curve current and something you could take a look at.
Operator: Your next question comes from Seth Rosenfeld from Exane BMP.
Seth Rosenfeld: A couple of more questions with regards to your volume and product mix outlook. Obviously, a bit of a trade-off, but the higher value-add products achieving higher ASPs, but perhaps sort of higher yield loss and lower shipment volumes on an effective basis. How are you thinking about the trade-off in terms of pushing more into value-add or trying to maximize your volumes with more commodity grade hot-rolled coil right now? And just confirm whether you're still seeing better aggregate margins as you move more into cold-rolled and galv. I'll start there, please.
Alan Kestenbaum: Yes. Seth, that's exactly right down the center of our philosophy, which is tactical flexibility. We evaluate that all the time. We're not committed to anything other than making money serving our customers and having the highest margin. We evaluate, we have tools that evaluate on real time, every minute of every day. We're better off taking a higher price evaluated, taking account for yield loss or taking an HRC order. And the winner is always the one where we make more money. So you're absolutely right. We're not pursuing value-added if it means that the yield loss would result in less profit for Stelco on the contrary. We will take the HRC order and sacrifice the value-added order. So when we calculate every single order that we take even our value-added, we calculate it back to what the HRC equivalent is. And if it doesn't beat an HRC order, we just take the HRC order.
Seth Rosenfeld: And second question, please, with regards to growth. You talked a lot about opportunities for shareholder returns largely through dividends and buybacks. On growth, I guess, one project that hasn't been brought up to par is your option for Minntac. Can you walk us through the attractiveness and try to execute that now when you have a strong cash generation versus waiting towards later in that option agreement?
Alan Kestenbaum: Yes. I don't want to signal that when we might do that for competitive reasons. But we've got 7 years to make that decision. And the -- because as we said before, if you look at the timing of when we executed that agreement, we're pretty happy with the arrangement that we have right now on the purchase agreement. So I think -- I mean just to put them out there, I'd say there's better opportunities in executing that right now, but it doesn't mean that we won't execute it. It's just there's some better things to look at that could meaningfully move our share price. For example, share buybacks and things like that, that could have a much more meaningful impact to the share price. So really happy with that deal, positioned us well. We've got a -- we're satisfied with the agreement that we have. And I wouldn't necessarily say that would be the first thing on our list for use of our cash.
Seth Rosenfeld: Great. And just one last question, please. Can you confirm CapEx budget for this year and given the very strong ASP environment expectation for further working capital investment?
Alan Kestenbaum: Well, I mean, working capital investment, there isn't a working capital investment because we're just running our business. CapEx, total CapEx, and we're meaningfully through it, it's really just based if you look at the ongoing CapEx, maintenance CapEx, a business like ours to keep it running at the level that we're at to think about in terms of $80 million a year. And we have the coke battery, which is about $120 million project. So I think if you use $200 million, you're kind of in the ballpark and a lot of that's already been spent. Next year, we go back -- we go down -- next year, we go back to the $80 million.
Trevor Harris: That's all the time we have.
Alan Kestenbaum: Yes, we're over time. I'm going to thank everybody for joining the call today. I wish everyone a great day. We're really, really happy with how things are going and a lot more great things to come, guys. So thank you so much.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your line.